Operator: Good morning and welcome to Townsquare’s First Quarter Conference Call. As a reminder, today’s call is being recorded and your participation implies consent to such recording. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] With that, I would like to introduce the first speaker for today’s call, Claire Yenicay, Executive Vice President.
Claire Yenicay: Thank you, operator and good morning to everyone. Thank you for joining us today for Townsquare’s first quarter financial update. With me on the call today are Bill Wilson, our CEO and Stuart Rosenstein, our CFO and Executive Vice President. Please note that during this call we may make statements that provide information other than historical information, including statements relating to the company’s future expectations, plans and prospects. These statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from these statements. These statements reflect the company’s beliefs based on current conditions that are subject to certain risks and uncertainties including those that are detailed in the company’s Annual Report on Form 10-K for the year ended December 31, 2019 filed with the SEC. We may also discuss certain non-GAAP financial measures, including adjusted EBITDA and adjusted operating income and make certain pro forma adjustments. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly, year end and current reports available on our website. We have not provided reconciliations for projected non-GAAP financial measures to the most directly comparable GAAP financial measures because we are unable to estimate certain components of such non-GAAP financial measures without unreasonable efforts. At this time, I would like to turn the call over to Bill Wilson.
Bill Wilson: Thank you, Claire and thank you all for joining us this morning. I’d like to start this call by sharing that our thoughts and prayers go out to all who have been affected around our country and the world in these unprecedented and challenging times that we are all living in. And then I could not be more proud of how our Townsquare team has adapted and adjusted and as a result grown stronger. Our commitment and our obligation has never been greater to do our job to do our best and to fulfill our responsibility to super serve our listeners, our clients and our local communities. Starting in late March, the majority of our team has been working remotely with the exception of much of our on-air staff, who have been in our studios working hard to keep their local communities informed, entertained and comforted. Beginning last month, we began opening our offices to the rest of our teams when restrictions were lifted in each of the states and counties we operated. Our first and foremost concern continues to be the safety and well-being of our employees and their families and we have implemented numerous improved and safety precautions in each of our offices to ensure this. Any team member returning to their office is doing so 100% voluntarily as it is the employees option to return to the office and any team member who is not comfortable returning is working remotely. Market by market, our goal is to find the intersection of safety and productivity. Our next focus in priority is to keep our communities well informed and entertained. Time and again, radio has proven how vital it is in emergency or at crisis. Listeners tune into the radio either on a traditional broadcast radio or via their smart speakers on mobile phones not only for the trusted connection that is provided by their favorite local DJs or as we call them the original social influencers, but also to be updated on key safety information specific to their local community. A recent Nielsen survey found that 83% of consumers say they are listening to as much or more radio as they were before COVID-19 pandemic with 28% of consumers listening more. And at Townsquare, we have seen an incredible growth of our digital audience. In March and April, over 64 million people visited our national and local websites each month and 39 million people specifically visited our local radio station websites both are the highest total digital audiences in the history of our company. As we have highlighted over the past couple of years on these earnings calls, with local newspapers and local TV stations, reducing their coverage and investment and therefore news coverage of the 67 cities that we serve, Townsquare has through our websites and mobile apps stepped in to fill that void which the COVID-19 crisis has magnified. As a result, we are not only experiencing all-time record number of people visiting our websites, but also an all-time record level of engagement, more visits per month, more articles read per visit, etcetera, which is one of the numerous reasons why our digital advertising solutions are performing better than our broadcast advertising solutions as more people than ever engage with our brands online to obtain specific information to their local community. There were plenty of additional bright spots during the first 5 months of the year regarding audience engagement, but the reality is our stakeholders and investors are very aware of how powerful our brands are and they are currently focused on how Townsqaure is managing and performing financially during this COVID-19 pandemic downturn. So, I along with Stu, going to spend the rest of this call providing an overview and financial analysis of Q1, a review of the steps we have taken in reaction to the crisis and shared the impact that the COVID-19 pandemic had on our Q2 starting with April and May and what we are currently seeing in June as well. Turning first to our financial performance in the first quarter and since the start of the crisis, Q1 started off on a very strong note with January and February pro forma net revenue plus 6% and plus 7% respectively compared to those months last year. When the month of March began, our net revenue was pacing up a very strong plus 8% compared to the last year, but as the COVID-19 crisis intensified in March, we canceled all of our remaining March live events as I noted on our March 16 earnings call. At that time, we stated that we had not experienced significant cancellations on the advertising side of our business. Although I did note that we had begun to see advertising cancellations related to Sports and Live Events related advertising. On the morning of March 16, when we last reported, there were no stay-at-home orders issued anywhere in the United States. California was the first state to announce such a directive on March 19 followed shortly by many states, where we have operations, including New York, New Jersey, Connecticut, Illinois, Louisiana, Washington and Michigan. By the end of March, 17 of the 25 states where we have radio stations had issued stay-at-home orders with nearly all states joining by the first week of April. In the last 2.5 weeks of March, we had over $4 million of cancellations for just the month of March in our advertising segment. Resulting in March net revenue declining negative 10%, which was an 18 point swing from where we began the month at plus 8%, unprecedented and brutal. As a result, our net revenue for Q1 was $93.4 million slightly below our first quarter guidance of $93.9 million to $94.8 million. Although this streak will continue in Q2 given the COVID-19 crisis, it is very much worth noting that Q1 was our ninth consecutive quarter of pro forma net revenue growth. It is also worth noting that in Q1 over 40% of our net revenue was digital revenue. This clearly differentiates Townsquare from other local media companies. First quarter adjusted EBITDA of $15.5 million missed our Q1 guidance as there were some unanticipated expenses that came in at the end of the quarter in addition to the $4 million in revenue cancellations in our advertising segment that I noted earlier. Stu will provide more detail on these items shortly. As you would expect for the foreseeable future, we do not plan to produce or operate any live events involving the mass gatherings of people. Any decision to proceed with our Live Events business will of course observe all federal and local government recommendations as well as our own sense of when it would be responsible and safe for our communities to start hosting events again. Fortunately, with great foresight, we streamlined our Live Events segment by selling the majority of our Live Events assets in 2018 and 2019. As a result now in 2020 we have a significantly smaller live event footprint that is connected to our local radio station markets and their brands allowing us to intelligently pivot to a largely variable expense base. As a result, although we are planning on as little as $2.4 million of Live Events net revenue for 2020, in essence, equal to Q1’s Live Events net revenue prior to the COVID-19 pandemic and thus assuming no additional 2020 Live Events revenue, we expect our Live Events division to breakeven on an EBITDA and cash flow basis for the year given our strong expense management. To the point of smart and strategic expense management, like many other companies, we have had to make some very difficult decisions in order to reduce our expense base during this challenging time. In an effort to help offset the decline in Advertising and Live Event revenue, we enacted approximately $1.7 million of monthly fixed cost savings. These expense reductions included a reduction in workforce of approximately 6% of our full-time staff. Currently, we have approximately 2,100 full-time employees, a significant reduction to our part-time employee base. The temporary suspension of our 401(k) contribution matching program as well as some other measures we deem prudent. We did not come to these decisions lightly. After extensive modeling of potential downside scenarios, we enacted a maximum amount of expense reductions that we felt would not hurt our long-term growth opportunities. To be transparent, my goal was to minimize personnel layoffs, which we achieved with only a 6% reduction to our full-time staff so that we have a talented although slightly leaner world class team in place and ready to hit the ground running as states reopen for business. Therefore, not all of these cost reductions are permanent and we expect that some of these expenses will return as business ramps up. Although the timing of that is unknown at this time, I believe we are well position not just to prevail through this pandemic crisis, but most importantly, to be one of the best positioned local media companies on the other side of this pandemic whenever that maybe, months or quarters from now. But before talking about the other side and how we expect to rebound and be well positioned to take advantage of that rebound, let me first share what we experienced in April and May and what we are seeing currently in June. According to Gordon Borrell, a leading authority on local marketing research, 83% of small and medium-sized businesses experienced a negative business impact from coronavirus in April with 62% of those seeing a decrease in business of more than 30%. We have seen this sentiment reflected in the result of our own advertising business as well. In the month of April, we took over $16 million of Q2 advertising revenue cancellations. As a result, April net revenue finished down negative 36%, with broadcast revenue down negative 52%, digital revenue down negative 6% and Live Events revenue obviously down 100% with no live events taking place. Although not surprising but rather what we expected yet still incredible, our Townsquare Interactive division continued to deliver growth in April, with plus 11% revenue growth in the month. These revenues trends continued into May with net revenue finishing down negative 37% given a larger Live Events revenue comp, but broadcast revenue improving by a few points to negative 49% and similar growth rates across other product lines in May as we saw in April. I am aware that investors and other stakeholders are interested in knowing if we have seen any regional trends in our advertising business given the COVID-19 cases and restrictions that varied by location. Therefore, let me take a moment to share what we have seen in April and May as it relates to regional trends and states reopening. As you might expect, the regions impacted most by the pandemic and the resulting restrictions took the biggest hit in ad revenues. For example, in the New York Tri-State area, net revenue declined over 53% in April and so far has remained the same throughout the quarter. With restrictions in New York’s Tri-State area just starting to be lifted now, we expect to see immediate improvements. New England was impacted almost as much as the Tri-State area early on. April was negative 50% net revenue as was Michigan, as April was negative 48% net revenue. But with initial phases of reopening in place, we are seeing improvement later in the quarter with New England pacing now negative 30% and Michigan now pacing negative 38% for June and thus you could see the positive revenue impact of the beginning of markets reopening. At the opposite end of the spectrum and states with the least restrictions such as Iowa and the Dakotas, the revenue decline wasn’t as severe, down negative 28% in April, approximately half of the revenue decline we saw in the Tri-State area in Q2. Areas like, Texas, Oklahoma and Arkansas, where restrictions were implemented later, but didn’t last as long took a biggest hit in May, negative 44%, but are rebounding nicely in June to negative 28%. As you might expect, advertising categories impacted the most by restrictions took the biggest hit in April and May, auto suffered the largest revenue drop followed by furniture stores, dentists, fast foods and casinos. Interesting to note that they were bright spots as well as revenue increases in education, insurance, groceries and state government. As we powered through the worst of the downturn, we were reminded of the incredible power of data and how we can use it to help our clients both our first-party data via our data square tech stack and the attribution data by AnalyticOwl have proven to be incredible assets for us during this pandemic. When our marketing consolidations, otherwise known as AES, leverage our proprietary data square tech platform endure our attribution data, the data demonstrates that our retention of campaigns is higher, i.e., less churn and our average spend per client campaign is higher. For example, in the month of April, clients connected to our attribution platform powered by AnalyticOwl spent 79% more on average than non-connected clients and a retention rate one-third higher than non-connected clients, very strong data. The key for us is to get more advertisers connected to our attribution platform, so that they have the benefit of using this data to optimize their campaigns. That’s April and May revenue results for you. But for your benefit, I am also going to take a step back and share what we experienced since our last earnings call in mid-March. As I detailed earlier, cancellations of our broadcast advertising campaigns in the second half of March and in April were significant and quite honestly brutal. But we believe that we have turned the corner and the worst is behind us. Starting very late in April, new advertising orders began overcoming advertising cancellations and thus we started to go positive net adds at that time. In addition, the volume and amount of advertising campaign cancellations have declined in the month of May compared to April and new advertising business had sequential growth in May. In May, for example, we had 30% fewer cancellations and 32% more additions than April, a trend that is continuing into June. A few other data points that may help illustrate the improvement in May over April. First, in the month of April, when calculating all advertising cancellations and business booked in the month, we went backwards approximately $1 million in advertising revenue from where we started in the month of April. In May, we added approximately $2 million in advertising revenue in a month, which is obviously approximately a $3 million swing from April to May, in essence an improvement, which we found encouraging. June obviously is not even halfway over in terms of business days, so it is very early, but it is worth noting that in the first 10 business days of June, we already have net adds of over 32% where we had in the first 10 days of May. Just given our month over month data, we expect our advertising revenue will continue to sequentially improve as it did in May over April and June over May as well. However, let me be very direct and transparent. The impact has been severe and we expect that full quarter Q2 results will likely be in line with what we experienced in April and May, a total net revenue decline of approximately 36%, almost no Live Events revenue and approximately plus 10% revenue growth for Townsquare Interactive. As I just noted, our Advertising business is improving sequentially month over month. However, we are comping against Live Events revenue of nearly $6 million in May and June of last year, which will offset the improvement in our Advertising business and negatively impact our overall net revenue decline for Q2. As you would expect, future results are dependent on the success of state re-openings over the next few weeks and months and if there is a second stage of the pandemic in the fall or winter. Based on our current knowledge, visibility and expectations, as a result our expense reduction and improving cash management, we will have positive adjusted EBITDA and positive cash flow from operations prior to interest payments in the second quarter. In addition to the expense savings I discussed earlier, we have also reduced capital expenditures and our Board of Directors have decided to withdraw our quarterly dividend which will result in us saving approximately $4 million in 2020 and approximately $8 million on an annualized basis moving forward. I trust that I have provided a very thorough and in-depth perspectives on not only our Q1 results, but also importantly, what we experienced in April and May as well as what we are currently expecting for Q2 overall. Although as you would expect, we are not providing formal guidance, given the continued uncertainty related to the COVID-19 pandemic. Before handing the call over to Stu, I would like to take a moment to highlight the strength and resiliency of Townsquare Interactive. Given that it’s a digital marketing subscription business, Townsquare Interactive is a major differentiator for our company in numerous ways. Townsquare Interactive was built to be a recession resistant business and we believe that strategy is proving out today. As subscribers continue to grow, revenue continues to grow and profits continue to grow even during the depth of the worst month of the pandemic. Now more than ever, small and medium-sized businesses need to strengthen and maintain their online presence and Townsquare Interactive’s marketing solutions can do that at a highly competitive price point. I am very proud of how our sales teams were able to pivot their marketing strategies to help small and medium-sized businesses digitize and adapt to the new normal, whether that involves helping restaurants adapt their websites to use online ordering and curbside pickup platform, professional services or health and fitness companies adapting their websites to enable online scheduling and virtual classes. We are helping retailers adapt their websites to allow for e-commerce for those that did not offer it prior to the pandemic. Townsquare Interactive was a bright spot in Q1, with net revenue increasing plus 16% as compared to Q1 of 2019 and ending the quarter with approximately 19,850 net subscribers and addition of 850 net subscribers during the quarter. Our Q1 revenue for Townsquare Interactive was $16.5 million. And based on our current subscriber base, Townsquare Interactive’s run-rate annual revenue is now $71 million as of the end of Q1. And importantly, as I just noted, April and May continued to be strong for Townsquare Interactive with approximately plus 10% revenue growth. We expect Townsquare Interactive continue to grow in June as well as throughout the back half of this year. In addition, in Q2, I expect Townsquare Interactive to have 850 net adds just as we have delivered 850 or more net subscriber adds for the last eight consecutive quarters. I would like to wrap up by highlighting Townsquare Ignite, our digital programmatic advertising solution, which was once again our strongest advertising product in the first quarter. Townsquare Ignite grew net revenue each month in the first quarter compared to the prior year, including March and for Q1, Ignite net revenue grew plus 30%. Overall, in April and May, our digital advertising solutions fared better than our broadcast advertising solution and that is in part due to the popularity of Townsquare Ignite. Although, Ignite is not immune to the advertising pullback, it was one of our best performing advertising products in both April and May, down far less than our other adverting solutions. Townsquare Ignite’s relative strength and Townsquare Interactive solutions, which have been resistant to the effects of the pandemic, highlight that Townsquare’s digital assets be it our digital audience to our websites and apps, our video social mobile and programmatic advertising solutions or our robust digital marketing services are a real differentiator for our company and proves out the fact that although we are very proud of our roots in DNA and radio, Townsquare is not limited to being just a radio or audio company, but rather at this point can and quite honestly should be classified as a premier local media and digital marketing solutions company. And we believe our diversification with digital revenue in Q1 contributing 40% of our total net revenue will help us not only prevail and be able to rebound more quickly than others in the radio broadcast industry from this COVID-19 pandemic downturn, but most importantly, be a stronger and in my view one of the best positioned local media companies in the U.S. for top line organic revenue growth and bottom line profit growth. I am so proud of our talented Townsquare team and the focus and commitment in which they are delivering for our local communities, our listeners and our clients during these times. Because of their dedication and performance, I believe we will emerge from this crisis well-positioned to grow and return to our market leading performance quickly after this crisis abates. With that, I will turn the call over to Stu who is going to go over our financial results as well as our cost saving initiatives in much greater detail.
Stuart Rosenstein: Thank you, Bill and good morning everyone. As a reminder in 2019, we sold our Bridal Exposition Live Events. Our 2019 results and 2020 growth rates have presented on a pro forma basis for the sale of these events unless otherwise stated. Please refer to the tables included in our earnings release, which provide GAAP results and pro forma results as well as our non-GAAP performance measures. I would like to start by mentioning that we filed for the 45-day 10-Q filing extension related to COVID-19. We expect to file before next week’s deadline and do not anticipate any changes to the results that we are reporting today. In addition, I would like to briefly discuss our annual Form 10-K filing as we filed last week. As you are likely aware, 2019 was the first year that our current auditors, BDO, audited the company. During this review, BDO advised us that we should consider whether the impairment of intangible assets related to FCC licenses as recorded during previously audit periods needed to be restated. BDO determined that not all of our revenue streams are to be included when downing these intangible assets. Only broadcast revenue should be included to support the value of the FCC licenses. Thus TSI revenue, our Ignite revenue and all Live Events revenue were not available to split the value of the FCC broadcast license. This is significantly different from how we valued our intangible licenses and our goodwill and testing for the related impairments since the inception of Townsquare going back to 2010. And after numerous discussions with our current and previous auditing firms, we completed the restatements to our prior year financials and adjusted for additional non-cash impairment expense. In 2019, you will also note that we took a non-cash impairment charge to our FCC license in tangible assets of approximately $40 million. Again, this was due to the change in valuation methodology. In 2019, we also recognized impairment of goodwill of $69 million due to changing our operating segments and reporting units. Due to these changes, the cash flows from Ignite, TSI and Live Events are no longer utilized to support the goodwill recognized in our acquisition of radio stations. As a reminder, impairment charges are purely non-cash charges. They do not impact our revenues, our direct operating expenses or our adjusted EBITDA. They have an impact on financially reported net income, earnings per share and deferred taxes. Importantly, there were no changes to the fourth quarter and the year end adjusted EBITDA results that we previously reported to you on March 16. I encourage you to review our 10-K and contact us if you wish to discuss this restatement in more detail. I would also like to note that we expect to take additional non-cash impairment charges in the first quarter of 2020 due to the economic impairment related to the COVID-19 pandemic. And these non-cash charges will be material. You will see these charges when we file our 10-Q in the coming days. Overall, 2019 was a very strong year for our company. And as Bill noted, that momentum continued into the first two months of the year before the pandemic hit negatively impacting our first quarter results. First quarter net revenue increased 0.5% over the prior year period to $93.4 million below our previously issued guidance range of $93.9 million to $94.8 million. As Bill noted earlier, we experienced over $4 million of COVID-19 related advertising cancellations in March and as a result, the first quarter advertising net revenue was approximately flat increasing 0.3% as compared to the first quarter of 2019. Our Townsquare Ignite advertising solution was our strongest advertising product in the first quarter and offset declines in our broadcast business, which accounted for a majority on the advertising cancellations. Townsquare Interactive’s first quarter net revenue was not materially impacted by the pandemic and increased by 16.3% year-over-year as our subscriber base grew by approximately 850 net subscribers in the quarter. This is consistent with prior quarters. The net revenue growth and stability of both our Advertising and Townsquare Interactive segments in the first quarter were nearly entirely offset by the decline in Live Events revenue. As a reminder, because of the pandemic, we cancelled the majority of our March live events and have also cancelled our second quarter events. In total, our first quarter Live Events net revenue declined approximately 47% compared to the prior year period. Fortunately, our Live Events cost basis is largely variable. And if we did not host the events, we did not incur many of these expenses. Therefore while first quarter net revenue for Live Events decreased approximately 47% versus the prior year period, direct operating expenses decreased approximately 48% versus the prior year period, resulting in a positive adjusted operating income of $0.5 million and an increase in operating margins. In total, first quarter direct operating expenses increased by 4.6% compared to the first quarter of the prior year. This was driven by an increase in advertising direct operating expenses of 4.9% and an increase in Townsquare Interactive direct operating expenses of 21.9% partially offset by the already mentioned decline in Live Events direct operating expenses of 48%. Adjusted EBITDA of $15.5 million declined 17.7% versus the prior year period and fell short of our previously issued guidance at $19.3 million to $19.5 million. Our adjusted EBITDA decline was due to a handful of unanticipated expenses. First, as Bill has already discussed, we lost approximately $4 million of advertising business in the final days of March as advertisers cancelled campaigns due to the COVID-19 outbreak. As our Advertising segment has a largely fixed cost base, a significant portion of this revenue mix fell to the bottom line. Second, medical expenses related to our self-insured medical plan increased by approximately $1 million. And thirdly, we had additional professional fees, including auditing fees associated with our 2019 audit. As the business cancellations related to COIVD-19 started to roll in, we quickly began to implement both temporary and permanent cost reductions to help offset the impact. We immediately halted all hiring across the company. We greatly reduced our part-time staff and reduced our full-time staff by approximately 6%. We also suspended our 401(k) contribution matching program. We cut travel, entertainment and promotional spending in various – took various other measures. As Bill mentioned, we spent a lot of time modeling various revenue projections and we believe that if business remains at the same level that we are seeing today, we have sufficient liquidity to meet our cash needs for the better part of the next 2 years. In addition to the operating expense reductions that we have in place today, we have also been limiting discretionary capital expenditures. And last month, our Board elected not to continue making our quarterly dividend payments. In total, we have enacted $1.7 million of monthly fixed operating cost savings, $4 million of savings related to the reduced dividend payments in 2020. We expect an approximately 15% reduction to our capital expenditures in 2020 as compared to the prior year or savings of approximately $3 million. And we are taking advantage of the payroll tax deferrals allowed under the CARES Act. Additionally, we will see a decline in variable cost such as commissions and music license fees that are associated with the decline in revenues. On March 17, we drew down100% of our $50 million revolver in a precautionary move to enhance our liquidity as the crisis intensified. As of March 31, our total debt balance was $610.5 million and our total cash balance was $135.9 million implying net leverage as of March 31 of 4.8x based on a trailing 12 months adjusted EBITDA of $98.7 million. On May 19, we repurchased $4.7 million of our 6.5% April 2023 unsecured notes at a 25% discount to face value and retired them. On June 5, as we became more comfortable with our liquidity position, we repaid the entire outstanding revolver as we saw no future need to incur the incremental interest expense. Additionally, within the next 48 hours, we will be making our 2019 excess cash flow payment, which will reduce our outstanding term loans by approximately $9.9 million. Aside from those payments, we anticipate holding cash on the balance sheet in order to preserve flexibility during this pandemic. And with that, I will now turn the call back over to Bill.
Bill Wilson: Thanks, Stu and thank you everyone who dialed in this morning. We want to ensure all of our stakeholders that we are carefully managing through this crisis: first and foremost, by considering the health and well-being of our employees and local communities above all and secondly, by taking well thought out cost reductions to our business that will help mitigate the near-term pain that we expect in 2020. As I stated earlier, our goal is to balance cost reductions with our opportunity for long-term growth. We want to be positioned to emerge from this downturn more quickly and more efficiently than our competitors and we believe that this strategy together with our diversified and differentiated product offering ensures that we will be. To that point, our Townsquare Interactive and Townsquare Ignite teams were not impacted by the 6% reduction in workforce tied to the pandemic. As a large number of those reductions were in corporate roles or support functions, we wanted to ensure that as we come through the other end of this crisis we are well-positioned for continued revenue and profit growth as we demonstrated in 2019. We strongly believe that our liquidity position today is sufficient to sustain our business at the current advertising levels for the better part of the next 3 years even if our revenue does not improve. However, we are prepared for and in fact, we are doing the work necessary to influence for business to recover more quickly. In closing, I also want to again highlight that I could not be more proud of how our Townsquare team has adapted and adjusted and as a result grown stronger during this crisis. Our commitment and our obligation has never been greater to do our job, to do our best and to fulfill our responsibility to super serve our listeners, our clients and our local communities. As we say internally, stay Townsquare strong. Our future remains bright and together we will emerge from this challenge stronger than ever before. Together, we stand. As always, please to not hesitate to call or reach out as I always look forward to speaking to investors at every opportunity. And with that, we will now open the call for questions. Operator, please open the lines.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from the line of Michael Kupinski with NOBLE Capital Markets. Please proceed with your questions.
Michael Kupinski: Thank you for taking the questions and I hope you are all well. A couple of questions here. The small to medium size markets seem to weather the pandemic somewhat better than the larger markets. And I was wondering if you can just talk a little bit about what you have seen from your smaller markets versus some of your larger markets if there is a variance in the decline in advertising and as you are coming out in these states reopening, are you seeing better performance?
Bill Wilson: Good morning, Michael. It’s Bill Wilson. Hope you are well and safe and healthy as well. So on your first question yes, we are definitely seeing differences in terms of size of markets as well as location and how many cases were present in different locations. So as I have said on the call earlier in the New York Tri-State area, for example, so our New Jersey markets in Albany and Buffalo, we were down roughly 53% in total revenue in April and that looks like where we are going be for the quarter roughly. When you look at something like New England, we were down roughly 50% in April. And as we are sitting here in June and states started reopening up over the past 2 to 4 weeks, our pacing improved from negative 50% in April to negative 30% in June, similar in Michigan where we were down almost 50% in April, we are down 48% in Michigan and in June, we are now pacing high about negative 38% in June, so clearly differences by region and what’s most encouraging to us and what we are seeing across the board is as states reopen we are seeing a impact in our advertising business pretty much as soon as they have some finality about when they were reopening as you probably know in the news, some of that information took a long time coming depending on the state, but one small businesses are business in general had an understanding from their state government what the restrictions were going to be for different phases of when they would be lifted. We saw an immediate uptick in business. And then some markets as I alluded to, like Iowa and Dakotas really never saw the depths of what we saw in the New York Tri-State area, they are down more in the mid-20s. So hopefully that answers your question. The other thing obviously larger location thankfully we are not in any of the top 50 markets so in terms of commuting and other things like that is a very different lifestyle than larger markets the other thing I would just highlight it it’s not a financial particular point but it is a very important point that in our size market. Other newspaper companies other broadcasters beat radio or a TV over the past five to ten years have really cut back their coverage their news coverage and we really feel that void in our sized cities and we seen that up and before the pandemic we’ve seen that in terms of our audience to our digital properties as well as our listening audience has been stable as but during this pandemic the we saw record highs in people turning to us for local information on all of our digital platforms and we anticipate that’s the case based on our data internally on online listening that that will be the case for broadcast as well so long answer to your question but that’s what we’re seeing in smaller markets.
Michael Kupinski: I appreciate that. And can you talk about the level you mentioned the level of audience and engagement on your website how are you getting CPMs the economy reopens I mean can you just kind of give us a sense of it’s a shame that while your level of the audiences significantly increased and engagement is significantly increased you are not getting that CPMs but as the economies are opening how what are you seeing in terms of level of audience in engagement in those metrics that you mentioned earlier how are you what are you seeing as state stay-at-home orders are now being lifted and are you starting to see CPMs increase there?
Bill Wilson: Yes, great question. So to your point we are getting the benefit of an increase audience size and I mentioned on the call we are also getting the benefit of increased engagements so people who are coming they are coming more often and they are also consuming more content more articles which is natural in this time but particularly all of our markets they actually don’t even have local television. So people in St. Cloud Minnesota are happy to tune into television station in hour and half away and that could be quite different than what they’re seeing in their local community so we really benefited remarkably in our digital platform from that perspective to your point CPMs definitely declined particularly starting in late March but really evident throughout the month of April and then we have seen that rebound really from about middle of May almost 4 weeks ago and that continues to rebound week over week. I actually track it on a day-to-day basis, but on a week over week basis, we see CPMs increasing continuing. It’s still not yet at the point of where it was prior to, but again that is also changing by location. In Iowa and Dakotas, we are seeing CPMs much greater and as you may have seen, some other digital companies, maybe not broadcasters. We also saw in certain areas like CPAs and form fills for recruitment and other things increase. So CPMs overall decreased CPAs increased. The benefit we had is with the increased number of impressions, because of our page who is increasing that digital decline in advertising as I noted on the call was much less than our broadcast, which obviously I think differentiates us as a company and also positions us well for the rebound.
Michael Kupinski: And Bill, did the company receive any political revenue in the second quarter as political affected by just kind of the lower audience engagement maybe on radio? I was just curious about the how political shaping up for the rest of the year? Are you still pretty optimistic about how that will look for 2020?
Bill Wilson: Yes, very optimistic. So specifically, I know you asked about Q2, but I will just let you know about Q1 too, Q1, we had $1.3 million roughly in political revenue and to comparing it to 2016 last Presidential, it was $1.4 million, so right there. And then in Q2, we are currently broadcasting about $950,000 in revenue and in Q2, 2016 we did $961,000, so right there. So, we are definitely seeing a donor spend up and we are seeing strength in political. As you know, a lot of the races moved in terms of our time periods, but we are still very confident and optimistic for the back half of the year. As you know Michael, in general, on political years, we will do $10 million in revenue and non-political years, we will do roughly $3 million and we still expect the same here in 2020.
Michael Kupinski: And on your expense reductions, my last question – on your expense reductions, can you talk about a little bit about how much those reductions affect corporate expenses versus your direct operating expenses?
Bill Wilson: Yes, Stu, I will pass that over to you in terms of the specific questions on the corporate reductions. As I noted, we really tried to limit our workforce reductions, but we only did a workforce reduction of roughly 6%. And that as I also noted on the call, lot of that was focused on corporate and support functions versus local markets or TSI or Ignite so that as we rebound, we believe and continue to be proven out with the data that we are rebounding nicely. And when that will continue, we want to make sure we have world class team in place, although it’s slightly smaller to take advantage of that. Stu, do you want to take the specific question on corporate reduction?
Stuart Rosenstein: Sure. So, hi, Mike, how are you doing?
Michael Kupinski: Great.
Stuart Rosenstein: So, we have three basic buckets of expense reductions, headcount related, non-headcount related and then kind of financial and CapEx related. So, we are basically saving about annually $4 million in dividends and about $3 million to $4 million in cap expenditures and so that’s like you said. So that’s not either, the CapEx pertains mostly to markets. Dividends is I don’t know if you call it corporate or just general financing. The headcount reductions on an annual basis of $11 million, I would say, three quarters away is markets versus corporate just based upon the number of people in the markets versus corporate although corporate salaries are a little bit higher. And then the non-head roll and the non-kind of headcount reductions are the elimination of the 401(k) match and travel, digital subscriptions, programming being used by both but most of that is probably markets as well. Hope that answers your question.
Michael Kupinski: Thanks, Stuart. I appreciate that. I will let others ask questions. Thank you.
Bill Wilson: Thank you, Michael. Stay well.
Stuart Rosenstein: Thank you, Michael.
Operator: [Operator Instructions] The next question comes from the line of Jim Goss with Barrington Research. Please proceed with your question.
Jim Goss: Thanks. I would like to pursue a little bit more on what Mike was just asking about the smaller markets that are your province, one of the issues in general with some of the media was the listenership and viewership was up but either availability of – or interest in spending on advertising was down on the part of advertisers because of the businesses being closed down I’m wondering if you have unique issues, say, restaurants, for example, maybe you could look at as an example where do the smaller restaurants that might actually advertise on your stations still feel somewhat constrained or less interested in advertising their reopening and how do you play that issue in terms of their potential demand versus the pricing attraction you might offer to them. 
Bill Wilson: Hey, Jim, it’s Bill Wilson. Good morning. Hope you are well —the questions so I think you asked a couple of different things in there which I will just answer and if I don’t hit on it at all, just let me know and I will follow-up. So as you pointed out with increased audience doesn’t necessarily equate to the advertising demand given things like restaurants and casinos and health clubs and doctors and dentists and furniture stores places that in essence were not open for business for quite some time and then pivoted few things like curbside pickup and some of those businesses didn’t reopen until state government restrictions were lifted for Phase 3 or Phase 4 which as I noted earlier were still waiting for uncertain New York market so we are not – our markets are not all fully open, they’re still phasing in. But we saw really different things as it relates to your specific category around restaurants from an advertising standpoint there was a clear pause in mid end of March and April and that really depended on location so if you are in the New York tri state area beginning of mid March end of March, we started to see cancellations in advertising particularly around broadcast which also hit our digital as it relates to streaming because a lot of times both goes hand in hand because and advertisers agnostic if it’s streaming over a car radio or an app or a computer so we did see that the flipside is when we saw a decrease from restaurants for your example in advertising even though obviously audiences were growing in terms of radio listenership in our digital properties. We did see no decrease really in our TSI or Townsquare Interactive, our digital marketing services, subscription business because if you are a restaurant even though you may be closed you recognize that would be a temporary situation. You may not have recognized how long that would be but you were, in essence wanted a web presence you wanted your website so that you continually update your consumers and it worked out quite well because they were able to communicate and Hey we can do curbside pick up or we can do these things a lot of restaurants in different areas that we saw do deliveries before particularly on our smaller markets that was not necessarily something that was of great value where they did start to do deliveries because people necessarily didn’t want to travel throughout different areas. So, we have definitely seen different scenarios based on location and size and then what we are seeing now is increasing business as states reopen we actually going to plot it day by day and it’s quite consistent and we are able to model that quite nicely so Jim hopefully I answered your question but if you want to follow up just let me know.
Jim Goss: I think that just sounds very well. With Live Events with the variable expense and no large gathering type approach, should we view that as essentially a break-even business going forward and basically supportive of the ongoing radio business?
Bill Wilson: I would say for 2020 that’s what we’re currently modeling. We are being conservative in that we are projecting from a modeling perspective no live events for the rest of this year of any mass gatherings of people so our revenue in Q1 Claire can update me or Stuart can if I am incorrect but I think it was roughly $2.5 million that we had on the books prior to shutting everything down in actually $2.4 million specifically before we shut everything down in March based on just having no incremental revenue moving forward because we are planning on no live events from a modeling standpoint we will be break even on an EBITDA as well as the cash flow basis for the year so that’s really due to our prudent expense management as well as we had the foresight obviously to exit our carnival business and a multi day music festival. So to your point everything is tied to the local brands. They are one ecosystem and we’re able to manage that even with no events moving forward for the rest of the year at a breakeven basis and then my expectation is that we will go into 2021, there will be Live Events again.
Jim Goss: Okay. And one last thing as we are speaking the markets are sinking on second wave here and I am just wondering how you think about the risk that some of these issues that have faced us might recur, even if it’s not to the same extreme and the same unfamiliar terrain, as has happened to this point this year?
Bill Wilson: Yes, we obviously plan for a second wave. Hopefully, that doesn’t happen for the sake of all of us in terms of citizens here as well as businesses, but to be prudent we are obviously planning for all scenarios, including downside scenarios, including a second wave, I feel very good about the playbook and our execution throughout this quarter as I mentioned, we are going to – we are not giving guidance, but we will be EBITDA positive in Q2 even with our advertising business as I noted on the call in April. We are down over 50% in broadcast. So to be able to execute and manage our expenses appropriately as well as I noted I couldn’t be more proud of what the team has done, not only from a financial perspective, but what they did for their local clients and educating them on the stimulus that the government was providing in our size markets, there was not a lot of sources of information or quite honestly, there was a lot of confusion and putting aside what our local account executives were doing in consulting our clients as it relates to how best to maneuver in this time period as it relates to their marketing and advertising budget, what was forefront for our account executives and local leadership was to educate and be a source of information about how to get through the pandemic for that business, including government stimulus. So, I couldn’t be more proud of the team. And I believed as I said on the call and it’s not just throwing out some words, we have really adapted and become better at things that we have talked about for a couple of years and our AEs as well as our on-air talent has superseded all of my expectations. So if a second wave does come, we are prepared to continue to execute like we have over the past 12 weeks. And I think we will maneuver just as well if not better if that were to occur.
Jim Goss: Alright. Thanks so much. Hope you are all well.
Bill Wilson: Thank you, Jim. Appreciate you too.
Operator: Thank you. We have reached the end of the question-and-answer session. And I will now turn the call over to Bill Wilson for closing remarks.
Bill Wilson: Thank you and thank you everybody for taking the interest and the time this morning to hear our commentary not only our Q1 results, but we know as stakeholders and investors you really wanted to get a perspective on what we are seeing in Q2 and then that’s why we gave a lot more detail than we otherwise normally do and we wanted to give you the confidence that we are handling this pandemic, I think deftly and we are rebounding quite nicely as states reopened and we are prepared to continue to do so. And I do want to take the opportunity to just thank the Townsquare team for everything they are doing. And with that, stay well, stay healthy and have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.